Operator: Good day, everyone. And welcome to American Outdoor Brands Inc. Third Quarter Fiscal 2021 Financial Results Conference Call. This call is being recorded. At this time, I would like to turn the call over to Liz Sharp, Vice President of Investor Relations for some information about today's call.
Liz Sharp: Thank you, and good afternoon. Our comments today may contain predictions, estimates and other forward-looking statements. Our use of words like anticipate, project, estimate, expect, intend, should, indicate, suggest, believe, and other similar expressions is intended to identify those forward-looking statements. Forward-looking statements also include statements regarding our product development, focus, objectives, strategies and vision; our strategic evolution; our market share and market demand for our products; market and inventory conditions related to our products and in our industry in general; and growth opportunities and trends. Our forward-looking statements represent our current judgment about the future, and they are subject to various risks and uncertainties. Risk factors and other considerations that could cause our actual results to be materially different are described in our securities filings. You can find those documents as well as a replay of this call on our website at aob.com. Today's call contains time-sensitive information that is accurate only as of this time, and we assume no obligation to update any forward-looking statements. Our actual results could differ materially from our statements today. I have a few important items to note about our comments today. First, we reference certain non-GAAP financial measures. Our non-GAAP results exclude amortization of acquired intangible assets, stock compensation, transition costs, COVID-19 expenses, related-party interest income and the tax effect related to all of those adjustments. The reconciliations of GAAP financial measures to non-GAAP financial measures, whether or not they are discussed on today's call, can be found in our filings as well as today's earnings press release, which are posted on our website. Also, when we reference EPS, we are always referencing fully diluted EPS. Joining us on today's call is Brian Murphy, President and CEO; and Andy Fulmer, Chief Financial Officer. And with that, I'll turn it over to Brian.
Brian Murphy: Thanks Liz. And thanks everyone for joining us. Today I'm excited to share our third quarter results, which exceeded our expectations for both net sales and net income. I believe our performance reflects not only the ongoing strength of the outdoor market, but more importantly, the value of our highly authentic brand portfolio, our unique Dock and Unlock strategy, the harvesting of our strong new product pipeline and investments we made in our business two to three years ago that are beginning to bear fruit. These elements have long been core to our strategy, and they underlie the great results we’re reporting today.  With a focus on the future five and even 10 years out, we will continue to make forward-looking investments that we believe will unlock the brand's full potential as they progress along their exciting path from Niche to Known, regardless of the direction the outdoor market takes in our post pandemic world. Overall, however, it looks as though the floor has been raised for outdoor participation, and we expect a portion of those new entrants to continue recreating and our categories well past the current pandemic. Because of that, we're very excited to continue engaging with a much larger consumer base than we did before 2020. With that, let’s talk about the quarter. Highlights include order strength for products across all four of our brand names, growth in both our e-commerce and traditional sales channels, the first million dollar plus quarter from our recently launched D-to-C brand, MEAT Your Maker!, the largest product launch ever from our Crimson Trace brand and exceptional cashflow generation, which further strengthens our balance sheet. Based on our performance and our outlook for the balance of the year, we are again raising our guidance for fiscal 2021, which ends April 30. Before I address our performance specifically, let me update you on our markets. By now, I think, we're all aware of the significant impact the pandemic has had on so many aspects of our world and community. When it comes to the outdoor industry, that impact has been truly profound and we believe has resulted in a higher foundational level of consumer participation. Whether personal protection, shooting sports, camping, hunting, or fishing, each one has delivered meaningful growth year-over-year. In camping, the Outdoor Industry Association estimates that camping participation increased 28% in 2020 with nearly eight million new participants. Millennials represented the strongest increase in participation with 19% camping for the first time ever. We are excited about what this trend could mean for our adventure brand lane, which includes Schrade, as well as UST, our growing line of camping here that we recently rebranded with an exciting new youthful, inclusive and energetic personality. You can check out our recently launched tents, sleeping bags and mats at ustgear.com. In hunting, according to data issued this week by the NSSF and Southwick Associates, hunting license sales were up an estimated 7.5% in 2020. The brands within our Harvester brand lane, particularly Hooyman, BOG, Uncle Henry, Old Timer, and our internally developed MEAT Your Maker! brands are in a great position to address a variety of pre-hunt, hunt and post-hunt activities for these new and in some cases renewed participants. In fishing, the Recreational Boating and Fishing Foundation reported there were three million more fishing licenses sold in 2020 than in 2019, an increase of 14% year-over-year. Within the adventure brand lane our BUBBA brand is ready to provide these new anglers with must-have tools to capture the ultimate lifestyle of adventure from water to plate. You’ll find new fishing shears, stainless steel pliers, and diving knives at bubba.com.  And lastly, strong participation in firearms ownership led to a record eight million new entrants in calendar 2020, according to the NSSF. This new and larger installed base of owners suggests strong future participation in shooting sports and the need for new products and accessories where we are uniquely positioned. In addition to benefiting Crimson Trace, Lockdown and the licensed Smith & Wesson related brands in our Defender brand lane, these new consumers are also potential long-term customers for Caldwell, Wheeler, Tipton and Frankford Arsenal all situated in our Marksman Brand Lane. Our award-winning puck monitoring device along with other innovative safety products from our Lockdown brand are especially relevant and offer peace of mind for these eight million new firearm owners. Turning to our financial performance in the quarter, net sales across our portfolio brands grew an extraordinary 91% in the third quarter and gross margins expanded by 110 basis points to over 45%. Growth in the quarter occurred in nearly all of our 20 brands. Furthermore, of our top four selling products in the quarter, each came from one of four brand lanes yet again demonstrating the diversity we have built across the business. We believe that sales growth across both our traditional and e-commerce channels in the quarter demonstrates the investments we have made over time continue to pay off, allowing us to place our brands wherever the consumer expects to find us, whether that’s a physical store or online. The investment we’ve made in our e-commerce platform was an initiative we began well in advance of the pandemic and positioned us well for the acceleration of consumer shopping online. We believe our e-commerce and traditional platforms will both play an important role in our long-term growth. So, we are pleased that our e-commerce channels generated 44% of our total net sales in the third quarter. This represented 129% growth compared to the prior year and included a sizable increase in our direct-to-consumer sales. Net sales in our traditional channels grew as well, increasing by over 68% year-over-year. Turning to profitability, our adjusted EBITDAS performance for the quarter was particularly strong with adjusted EBITDAS margins improving 1,120 basis points year-over-year. In addition to higher gross margins, we delivered greater profitability to the bottom line, demonstrating we believe the tremendous leverageability of our business. Thanks to the unique structure of our brand lanes and our focus on organic growth through our Dock & Unlock strategy. This quarter, I’m excited to share another example of our Dock & Unlock process in action. When we purchased Crimson Trace almost five years ago, it had long been a leader in the market for laser sights for self-defense, essentially a red or green laser attached to the frame of a firearm, allowing the user to aim more rapidly and accurately. Interestingly, when we plugged the brand into our Dock & Unlock process, we learned that consumers had come to view it as a trusted provider of not only laser sights, but aiming solutions more broadly. We thought, wow, like where else could Crimson Trace go with this increased permission to play? So, our Defender brand lane team went to work, expanding the Crimson Trace offering in 2018 to include red dot sights and a small assortment of rifle scopes, but their work didn't stop there. Ongoing research hinted to us what we believe consumers wanted most. And in this third quarter, we announced the launch of over 50 optics in our newly established Hardline and Brushline series of rifle scopes. Like the rest of our Crimson Trace products, the new scopes have undergone what we believe to be the most rigorous and hardcore testing in the industry, which is why they're backed by a lifetime warranty. They have the strength of IP behind a variety of features, and they preview the new design aesthetic that we are incorporating into future Crimson Trace products. Our scopes include aggressive knurling on the magnification ring and turrets. Crimson Trace MoC coatings, and robust aerospace-grade construction. Our pro models features zero-stop and exposed turrets, larger objective diameters, first and second focal plane options, and a variety of illumination options you'd come to expect from a brand rooted in electro-optics technology. You can find our new scopes at crimsontrace.com. New products are core to our strategy, and historically companies in our industry showcase new products each year at SHOT Show. This year, however, SHOT Show, like so many shows, was canceled, but that didn't slow us down and we went digital. We redirected our SHOT Show budget towards a rich media content and secured two full episodes on the 2021 SHOT Show New Product Premiere, which aired on the Outdoor channel and Sportsman channel. Both episodes were basically an American Outdoor Brands takeover. They were dedicated entirely to new products from across our brand portfolio. This programming included groundbreaking optics, hunting blinds, game cameras, meat processing equipment, revolutionary tools for the reloader and gunsmith, the latest fillet knives and gear for the most desiring anglers, a complete assortment of land management tools, a brand-new line of smart security products and much more. The reach for these episodes has been tremendous. We estimate that the programs have generated over 35 million impressions across television, print, digital and social media, and those programs are scheduled to air again in July. The shift we made from a physical event to a digital venue for SHOT Show seemed natural, since our internal capabilities, which include a modern approach to product marketing, content generation and digital marketing, our core strength that allow our brands to establish lasting relationships with consumers. We intend to further utilize these internal digital capabilities as we launch more than 300 new products in the coming year. In addition to organic growth objectives, Andy and I continually scan the landscape for potential acquisitions that are a fit with our business. We are currently seeing an uptick in the number of acquisition opportunities, likely for a variety of reasons. That said, we continue to maintain a very disciplined approach when we look at these targets. In particular, we're looking for a strong brand that complement our current portfolio and have runway for growth, targets that have large total addressable markets and brands where our Dock & Unlock strategy can provide untapped value for our shareholders. Before I hand it off, I want to especially thank our employees, who helped us deliver these tremendous results. Their commitment to our success as a new company, their dedication to the health and safety of their coworkers, and their passion for building an exciting and innovative product portfolio made it possible for consumers to continue exploring their connection with the outdoors and our products during these challenging times. Andy?
Andy Fulmer: Thanks, Brian. I'm excited to share details of our strong third quarter results. We delivered significant growth in net sales and adjusted EBITDA that exceeded our expectations, as well as exceptional cash flow generation. Net sales for the quarter were $82.6 million compared to $43.3 million in the prior year, an increase of approximately 91% driven by favorable consumer trends and a consumer preference for our strong brand portfolio. In fact, seven of our brands grew revenue more than 100% over the prior Q3. Historically, our second quarter sales have represented the highest point in our annual seasonality. This year, however, Q3 will likely stand as our highest quarter, aligning with very robust POS trends that were occurring at the time, combined with retailer load-ins of inventory on new products from our Crimson Trace and UST brands, new customer additions for Crimson Trace and [indiscernible], and strong channel inventory replenishment made possible by effective inventory planning. Sales in our traditional channels were $46.2 million, an increase of 68.5% over the prior year quarter. Net sales in our e-commerce channels were $36.5 million, an increase of 129% over the prior year. Our e-commerce channels include our direct-to-consumer sales as well as sales to retail customers that do not traditionally operate a physical brick-and-mortar store, but rather generate most of their sales on their own retail websites. Our Q3 gross margins were 45.2%, a 110-basis point increase over the prior year and in line with our expectations. The favorable impacts of product mix and fewer promotional programs were partially offset by higher tariff costs and sales of discounted slower moving inventory to certain retailers, both of which were expected. As a reminder last quarter, we said we would be working to sell $5 million to $6 million of certain slower moving inventory at low margin in order to convert that product to cash. Our efforts have been successful. And in Q3, we sold approximately $3 million of this inventory. In Q4, we expect to complete the sale of the remaining $2 million to $3 million of inventory, and the impact of those sales has been incorporated into our guidance. In the quarter, GAAP operating expenses were $27.2 million compared to $20.9 million in Q3 last year. The $6.3 million increase was driven primarily by $3.6 million, a variable selling and distribution costs, and approximately $1.4 million of compensation-related expenses, all of which resulted from our higher net sales. Those costs were netted by a decrease in intangible amortization of approximately $600,000. Non-GAAP operating expenses in Q3 were $22.2 million compared to $16.6 million last year. Non-GAAP operating expenses exclude intangible amortization, stock compensation and certain non-recurring expenses as they occur. For the third quarter, GAAP EPS was $0.56 as compared with an EPS loss of $0.01 last year. Our non-GAAP EPS was $0.82 as compared to $0.13 in the year ago quarter. These figures are based on our fully diluted share count of approximately 14 million shares. Adjusted EBITDA of $15.8 million represents an increase of approximately 360% over prior year, at a margin of 19.1% compared to 7.9% in the prior year quarter. This great result was favorably impacted by a combination of the absence of promotions required in the current environment, reduced OpEx from travel and trade shows, and the significant leverage of fixed costs at that net sales level. Turning to the balance sheet and cash flow. Our balance sheet became even stronger in Q3, enhancing our ability to invest in organic growth and seek complimentary brands for our portfolio through acquisitions. We ended the quarter with cash of $45.5 million and no borrowings on our line of credit. Our cash position was primarily driven by very strong operating cash inflow of $12.6 million for the quarter, netted by cash outflows of 1 million for capital expenditures and patent costs. We continue to expect approximately $4 million in total CapEx spending for the current fiscal year, with a portion of that being non-recurring in nature related to the spin-off from our former parent company in August, 2020. I want to note that the spin-off included a transition services agreement, under which we receive two years of IT support while we stand up our own independent IT infrastructure, including an ERP system. We are just now embarking on that process. So, the related CapEx will primarily occur in our fiscal 2022. Our new IT infrastructure is an important and meaningful opportunity to implement a system that truly fits our needs. It will provide immense value to our business by further strengthening our analytic capabilities and preparing us for future growth. I look forward to sharing more as we get this project underway. Turning to accounts receivable, we decreased AR by approximately $2 million from Q2 to Q3. Even though we delivered a sequential increase in quarterly net sales of roughly $3 million. We are pleased with this reduction, which is the result of two specific initiatives we discussed in our last call. We remained focused on identifying additional opportunities to reduce DSOs in the future. During the quarter, our team did a great job working with suppliers to ensure a consistent inflow of inventory despite some constraints with shipping capacity and port related delays that we faced with certain inbound product. We utilized air freight on occasion, when the margin impact was acceptable. And this helped us maintain what we believe to be excellent service levels for our retailers. We held our inventory relatively flat from Q2 to Q3, largely by moving the slower inventory I discussed earlier and balancing our internal inventory with increased demand. Starting in Q4, we expect our inventory to increase due to a few factors. First, like many companies we're seeing unprecedented port congestion. For instance, the Port of Long Beach reported its busiest February ever with 43% more shipping containers processed than prior February. In order to help mitigate transportation risk, we intend to increase safety stock in some of our high-volume SKUs. Second, as Brian mentioned, we're in the process of launching over 300 new products in calendar 2021. And we plan to increase the inventory in support of those launches. It's worth noting that several of these new products are manufactured outside of China, helping us continue to diversify our supplier base and reflecting our progress toward our long-term commitment to mitigate supply chain risk. Lastly, we've shared in the past our strategy to evolve some of our brands toward higher ASP products. As a result of our progress on this initiative, many of the new products Brian referenced will reflect higher ASP and that will inherently increase our inventory value. Examples of this important evolution include our new scopes from Crimson Trace, tents from UST and grinders from MEAT Your Maker. These new products represent an exciting investment we're making in our business. As we do so, we remain focused on effectively managing our inventories through our robust S&OP and product life cycle management processes. We ended the quarter with no bank debt and the full capacity available on our $50 million line of credit. This facility provides an additional $15 million of availability under certain conditions. Between our revolver capacity and our cash balance, our total available capital at the end of Q3 was over $110 million. This access to capital provides us with a menu of options as we identify opportunities for the organic and inorganic investments that Brian mentioned. Now turning to our guidance, based on our financial performance through Q3 and our expectations for continued growth in Q4, we are increasing our net sales, EPS and adjusted EBITDAS guidance for fiscal 2021. We are now estimating full year net sales in the range of $268 million to $272 million, which would represent growth of roughly 60% to 62% year-over-year. With net sales in that range, we would expect full year GAAP EPS in the range of $1.07 to $1.14 and non-GAAP EPS in the range of $2.08 to $2.15. We would also expect adjusted EBITDAS in the range of $43.5 million to $44.5 million, which would represent growth of approximately 254% to 262% year-over-year. I'd like to make a few comments on our guidance. Our tax rate in Q3 was about 22% and we expect our tax rate in Q4 to be roughly 25%. In addition, all our estimates are based on our forecasted fully diluted share count of approximately 14.2 million shares. At the midpoint, our guidance implies healthy fourth quarter net sales growth of about 34% over the year ago quarter and second half growth of about 62% over the year ago period. This outlook takes into account current POS trends, which remain favorable but which have come off Q3 levels. With regard to gross margin, we expect Q4 to be very similar to Q3 as a percentage and that result would include the low margin inventory sales I referenced earlier. In terms of OpEx, we expect fixed selling and marketing costs to increase from Q3 to Q4, as we redirect travel and trade show related savings from early fiscal 2021 to strategic initiatives in Q4. These investments include product launch activities, advertising programs with key retailers and other important initiatives that serve as seeds we are planting for future growth, feeling our brands in their transition from niche to known. With that operator, we're ready to open the call for questions from our analysts.
Operator: [Operator Instructions] Our first question comes from John Kernan with Cowen.
John Kernan: Well guys, congrats, phenomenal quarter. Really great start, since the spin.
Brian Murphy: Yes, thanks John.
John Kernan: You gave a lot of compelling stats on growth across a broad range of outdoor activities, hunting, fishing, camping, I guess what does the growth of this installed base of consumers in this new interest across all of these activities mean for your long-term organic growth? Right, it feels like you're looking at a multi-year path to fairly significant organic top-line growth. I'm just curious how things have changed maybe as we get into post-pandemic?
Brian Murphy: Sure. So certainly, with the increased participation with that installed base, which is much higher than it was in 2019 and our business being squarely in the center of some of the more popular activities that you mentioned, I do think it bodes well for us going forward, especially as we come out with new product suite. We mentioned we're coming up with 300 new products this year, overall, our portfolio is at a higher ASP. So, reaching out to those new consumers, engaging with them. We're doing that in our direct-to-consumer efforts in all of our digital marketing efforts. So, we haven't given any top line growth, which you know beyond this year. But certainly, it's exciting for us. We're as optimistic as we can be that this new installed base will continue to – we'll be able to tap into that new base in a much larger way going forward. Andy, anything you want to add to that?
Andy Fulmer: No. Yes. Just – we're very excited with our overall – our new product portfolio and really servicing the needs of those, this new base of consumers we have.
John Kernan: Got it. Maybe Andy, another question for you. Based on the guidance, you're now looking at a mid-teen EBITDAS margin or so based on the high and low end? What do you think the long-term margin of this business should look like, not just in fiscal 2022, but as we think to model out a few years? What's the normalized EBITDAS margin as you scale this business?
Andy Fulmer: Yes. Unfortunately, I can't really get into much detail there beyond kind of what Brian and I talked about how the fact that we're very excited moving forward. I would also point out that as we've seen throughout this year that we've really been able to leverage our fixed costs in a meaningful way. Outside of that, I can't really give you much more.
Brian Murphy: We plan, sorry, we plan to give our FY 2022 guidance at the next earnings call.
John Kernan: Understood. And I would imagine that the model – there's still a lot of fixed costs in this model given the growth potential in the industry, that's still a margin driving story going into fiscal 2022, and be honest, just the operating leverage in the business you see even beyond what you've already generated this year.
Andy Fulmer: Yes. I think that's a fair statement. 
John Kernan: Okay. And then just on the cash balance is building on the balance sheet next year, there's going to be more cash, it looks like, certainly, given the economics of the business right now. What are you seeing in terms of capital allocation and M&A?
Brian Murphy: Yes. We're definitely looking at, first and foremost, organic growth. So, Andy mentioned some of the investments that we'll be making here shortly, looking ahead at a new ERP system, which we're really excited about. It will give us increased analytics. And then also, like you said, M&A, I said in my prepared remarks that we are seeing an uptick in M&A right now, I've been in this industry for a while, and I can't say I've seen as much M&A as we're seeing right now, which is great. There's lots of opportunities out there. The thing that Andy and I, I think, do really well is remain very disciplined in looking at these acquisitions. Multiples have risen a little bit, and we need to make sure it's the right deal for us, the right deal for our shareholders can plug into our dock and unlock strategy. So, a few different areas, but those are the two primary ones.
John Kernan: Excellent. Thanks guys. Best of luck.
Brian Murphy: Thank you.
Andy Fulmer: Thank you.
Operator: Our next question comes from Scott Stember with CL King.
Scott Stember: Good evening guys and congrats on a great quarter. And thanks for taking my questions.
Brian Murphy: Thanks Scott.
Andy Fulmer: Thanks Scott
Scott Stember: I'm just trying to dimensionalize, you talked about POS has come off of the elevated levels of Q3. And I'm just trying to talk about or just figure out the size of the drop-off and maybe try to figure out some of that due to the falloff in mix that we saw with attachments and things like that. Maybe just give us a little more detail on that?
Andy Fulmer: Yes. Scott, this is Andy. So, for Q3, we had some – that three of the things that I talked about in my comments, that really helped drive Q3, the way that we looked at it the retailer load in. So that was pretty much Crimson Trace scopes, our new product line launch there. And UST, we had a load in of some of our tents sleeping bags and mattress pads. Those are really out of season load ins. So that definitely helped us drive new customers. We have a new OEM relationship with Crimson Trace. That again, when we look back, that's really a result of the spin-off. I don't believe we would have been able to have that relationship prior to the spin-off. And then also Huiman, we were able to load in into the home and hardware channel, which is a new channel for Huiman. And then finally, that inventory replenishment we really have the inventory to be able to service our customers. Our customers consistently say that our service levels stand out to them. So, we really had strong replenishment. Then when you look at Q4 and what we guided into Q4, that really kind of takes into account the POS trends we're seeing now. And again, they're off the Q3 levels, as you said, but really very strong with our implied guidance.
Scott Stember: All right. And just maybe just tying into some of the reasons why it could be off. Do you think that with mix kind of flattening out this last month that, that had an impact, like I was saying before, with attachment sales and things like that?
Andy Fulmer: I don't know. I think it could impact it, yes. I think that's more closely tied with some of the brands in our Defender lane like Crimson Trace. But also, that the cold weather that whipped through the middle of the U.S. and Southern U.S., I think, had a part in that as well in February. So quite a few places were closed, I think for a week. So, I can't discount that as well.
Scott Stember: Okay. That's all I have for right now. Thanks a lot.
Brian Murphy: Yes, thanks Scott.
Andy Fulmer: Thank you.
Operator: Our next question comes from Eric Wold with B. Riley Securities. 
Eric Wold: Thank you. Good afternoon, guys.
Brian Murphy: Hi, Eric.
Eric Wold: A couple of questions. I guess, one, just a follow-up on the last one kind of around inventory. You kind of talked about some of the strength in the quarter was the kind of nonseasonal or kind of out of season load in of the new products. I guess excluding that, how would you think about channel inventory levels in general, heading into spring/summer versus maybe normal kind of non-pandemic years? And how – what behaviors are you seeing from the retailers in terms of desire to restock inventory versus normal periods? Are they as aggressive before? Are they getting a little cautious or really no change?
Brian Murphy: Eric, this is Brian. So, what I would tell you is we've talked about in calls in the past that we've kind of shortened the lead time between our – what we're seeing in POS data. Again, we can see about 50% or so of our sales in POS with our own supply chain. And so, we – what we're seeing there in POS is very well tied into the orders that we're getting from our customer base, so strong correlation. And I don't – I'm not getting a sense from our customers that they are stocking up. I still think that there's healthy replenishment that's going on right now that's going out the door, where consumers are pulling that through at a rate that's consistent with what we're seeing in our data.
Andy Fulmer: Yes. And one thing I would add to that, Eric, is that I mentioned in my piece, the investment that we're making in Q4 on those marketing programs and some of the advertising with retailers. We're really doing our best to really pull that inventory through the channel as that marketing machine to drive that demand to obviously pull in more replenishment.
Eric Wold: Perfect. And then a final question. Obviously, big spike in participation during the pandemic, obviously, optimism that a lot of people do stay with these activities as the economy starts to reopen the kind of get more engaged. I guess maybe tough on the retail side, but maybe within your own e-commerce platform, what have you seen in terms of returning customers, repeat purchases, maybe an ability to kind of shift somebody who comes in a one-brand lane into another brand lane, how engaged are these kind of new customers being with the various activities?
Brian Murphy: Yes. Eric, this is Brian. That's a good question. So, we are seeing what we call internally kind of a daily chain sort of behavior with some of our consumers. So, we have over 500 micro influencers that we use, and a lot of times they will – they will use several of our brands. And that's really a good starting point for somebody who's getting into the industry, no matter where they're coming in, whether it's a new firearm or they're getting into hunting, or they're getting into fishing or camping. So, there's kind of this ecosystem of micro influencers that we leverage pretty heavily and they kind of travel – kind of move the consumer and introduce them to some of the brands through that, in addition to our own websites. So, you'll see, like for example, lockdown, I think right now, our lockdown brand is doing a big, big launch for some new products. And you'll see several of our brands being incorporated into that. Not in an intrusive way, but in a complimentary, some giveaways, things like that. And then we're seeing those purchase patterns across at least our websites, which we have good visibility into. So, we do think that there's upside there and we're seeing customers come back.
Eric Wold: That's helpful. Thank you, guys. Appreciate it.
Brian Murphy: Yes. Thank you.
Andy Fulmer: Thanks, Eric.
Operator: Our next question comes from James Hardiman with Wedbush Securities.
James Hardiman: Good evening and congrats on another strong quarter here. So, it's come up – it's come up, but you spoke to a significant replenishment in the quarter. I just want to make sure I understand where we are? Is that replenishment essentially complete and ultimately exiting the quarter, how correlated our point of sales, retail trends and the wholesale trends that you're seeing right now? If you see an uptick or downtick, is that going to be pretty quickly reflected in your shipping patterns?
Andy Fulmer: Yes. James, this is Andy. So, I'm trying to think of how to answer. So, our guidance again is really reflective of the POS trends that we're seeing right now as compared to Q3. I don't know I f that helps.
Brian Murphy: Yes, it's pretty well correlated. The exceptions being, because we do launch – we're launching so many new products this year and we've got some load-ins in Q4. So, some BUBBA products for example, some of those more spring seasonal type brands, that's going to skew the data a little bit.
James Hardiman: But ultimately loadings aside where we are in the upcoming quarter, we shouldn't think about incremental shipments being made to get inventory levels higher. That's already been completed in the previous quarter? Is that the way to think about it?
Brian Murphy: Yes. I think that's – I think that's a valid assumption.
James Hardiman: Okay. Perfect. And then Brian, a couple of times you've talked about M&A environment picking up and you alluded to a variety of reasons why you're seeing that uptick. Can you maybe give us some color as to what those reasons might be?
Brian Murphy: Sure. So again, I haven't seen this much activity in a long time. I think that there's a record amount of funds on the sidelines with private equity that needs to be put to work. I think the fact that the industry is doing well has increased visibility for a lot of those financial buyers. So, we're seeing more competition from in particular financial buyers that are stepping up. And in some cases, they may own a big portfolio company and have really began backing them and getting to the end of the industry. So increased, I would say demand, and then as a result of that as well and the performance of some folks in the industry, they recognize that demand and they want to take some chips off the table. So, they're coming to market as well. So, it's just – it's created an environment where we are seeing quite a bit more than we have in the past. With that said we're – obviously we're looking at those deals that come to market, but a big part of our strategy is Andy and I do a lot of outbound and cultivate our own pipeline of targets. So that continues on as planned, and like I said earlier, we'll remain disciplined. So, while it's exciting, it's really exciting that there's a lot of activity out there. We're going to be patient. We're going to find the right deal.
James Hardiman: Got it. And then just real quick clarification, Andy, if I do the math on the fourth quarter EBITDA margin, it seems like we're going from what had been sort of high-teens 20% to maybe 5% to 7%. Obviously, there's some leverage there, right? You're guiding to lower sales sequentially. So that's going to hurt margin a little bit. Is that it? Or is there anything else in there that we should be cognizant of?
Andy Fulmer: Yes. So, I would say in Q4, there's a couple of different factors. So, we have that additional $2 million to $3 million of low margin inventory that will impact margins. I said, in my comments, we expect gross margins to be kind of close as a percentage wise to Q3. So then if you look back into Q1 and two, that margins were higher. And the fixed investments that we talked about there, they're not – it's not a permanent change in effect. They are targeted advertising brand awareness initiatives, new product launches, launch initiatives that when you look at Q4 revenue, just the leverage, it doesn't pan out. But again, we're kind of looking at on a long-term basis. So, we don't want to not invest in those types of projects, because they are going to gain – yield gains for us going forward.
James Hardiman: Make a lot of sense. Thanks Andy. Thanks Brian.
Brian Murphy: Yes. Thank you.
Operator: [Operator Instructions] Our next question comes from Mark Smith with Lake Street Capital Markets.
Mark Smith: Hi, guys. I just wanted to ask quickly about e-commerce strength that it's been pretty phenomenal here the last couple of quarters, but talk about kind of how you can keep this momentum going kind of post pandemic as people get out and shop more in stores perhaps more than, than ordering online?
Brian Murphy: Yes. Hey, Mark this is Brian. So, at a very basic level, I mean, we just launched these sites in the last call it 18 months, 24 months. And so, I think we're still in the early innings of our e-comm growth, specifically direct to consumer. We really haven't – we haven't like cross sold many of the brands across the different websites, and so there's some low-hanging fruit there that I think we can continue to go after. But overall, I, again, I think it's in the early innings here. So as, if behaviors do begin to change, I think, we're again, we're doing our best to have that conversation with the consumer. And also, like we said, in the past, we want to make sure we are where the consumer expects to find us. So, having that dialogue with the consumer just increases their loyalty with our brands, and if they buy from us great, if they buy it from a retailer, great, we want to be there as well, so...
Mark Smith: Perfect. And let's talk about new products. You launched a lot of really new products, but a lot of this would have been probably late, the around shot show time period, but can you talk about during Q3 how the new product mix was, and then kind of maybe the next few months or year what that the cadence for new launches looks like?
Andy Fulmer: Hey Mark, this is Andy. I'll take the percentage and then Brian can talk kind of more long-term. So, yes, we were about 12.8%, which was down a little bit historically, but that really is interesting that really reflects just timing of launches and actually where we're launching. So, if we come out with a new product that may be out of season for a traditional retailer, but we're selling that through e-commerce that may affect kind of that new product. And we look at that kind of at 12 and 24-month basis, and it makes more sense over the long-term.
Brian Murphy: Yes. And then I can speak to the longer-term, sorry, Mark, did you have another question?
Mark Smith: No, just following up on that, like the Crimson Trace products that launched during the quarter, can you talk about kind of the timing of when those were available for customers and if that's something that's really impacting Q4 from a new product perspective, much more than Q3.
Andy Fulmer: Mark, are you talking about the scopes?
Mark Smith: Yes, exactly. Yes.
Andy Fulmer: Yes. So, the scopes, that's one of those where we launched very exciting launch, couldn't be more thrilled with those 50 new products. And if – when you look at kind of timeline, the timing of that is kind of out of season. So, we did have that load and we talked about. And then we'll see some replenishment in other products or other customer activity into Q4, but that's an exciting product that we're really happy about going into fiscal 2022.
Brian Murphy: Yes. And Mark this is Brian. So, on your – on the rest of your question related to launches at SHOT versus other times more broadly. So last year we were kind of – we began testing with certain brands, BUBBA is a good example, BUBBA, and a lot of fishing brands launched their new products at ICAST, which is like the SHOT Show for fishing. And that happens in the summertime, but we have been launching new products throughout the year as a way to just continually engage with that consumer. And we found that it's very, very impactful and has led to not only higher e-commerce sales for us, but also better pull-through for our retailers. So, this year you're going to see more about across our brands. So, you'll see some products that are hitting shelves in kind of the spring, summer timeframe. And then you'll see some more kind of throughout the summer and into the fall, that would have traditionally had a big launch right around Schrade SHOT Show.
Mark Smith: Okay. And then as we look at kind of the strategy on new products, as the Crimson Trace, a good example where we did see more high priced – higher priced products that you launched in the optics line, or will we see more of a kind of good, better, best, or how do you feel about the pricing and what consumer and price points you want to go after across all your brands within those products?
Brian Murphy: Yes, that's a great question, Mark. This is Brian. So, this is a strategy that we put into place a few years ago, so it's kind of working its way through our product development pipeline. And this has been a strategy, I think we've executed very well on. So, scopes was a part of that strategy, grinder is getting into some of the MEAT Your Maker! products was definitely part of that strategy, tents and sleeping bags, other parts. Other products, we kind of teased out if you – I mentioned in my prepared remarks about the SHOT Show, new product premiere. So, getting into categories like smart vault doors that you can install in a closet and essentially turned your closet into a vault, and that's going to be at a much higher ASP. So, we're going to continue to launch products that are higher ASP's, we're not as focused on the good – good, better, best. We're really not as focused on the good side of things I would say that most of our brands play in that better to best and that certainly helps us out with our ASP strategy.
Mark Smith: Perfect. That's helpful. Thank you, guys.
Brian Murphy: Yes, thank you.
Andy Fulmer: Thanks, Mark.
Operator: [Operator Instructions] Our next question is a follow-up from Scott Stember with CL King.
Scott Stember: Yes. In your opening remarks, you guys talked about you expect a portion of the people that are coming to the market during COVID to stick. Just, can you frame that out? Do you think the lion's share will stay in this? Because later on you talked about this new foundational layer of growth, which offers a huge opportunity. So I'm just trying to – are you seeing anything, hearing anything that people are leaving as they're starting to fly in the last couple of weeks, or just try to nail that down?
Brian Murphy: Hey Scott, this is Brian. I can start with the last part. I haven't seen anything that indicates that people are leaving. I've seen some studies out there, some – they've pulled parts of the population and folks that have gotten into the outdoors for the first time. And the majority of those individuals said that they intend to continue recreating outdoors, they didn't necessarily stay at the same level. But a larger percentage of those did intend to continue to do those activities outdoors. So that's the best data that we have right now, it's kind of coming out in real time, but that's all I can – I don't know, Andy, anything else that we've talked about that you can think of?
Andy Fulmer: Yes, I think that, I guess the only other thing I would add, and we talked about this a little bit last call is, going forward on top of that, what we believe is a new foundational level, we're focusing on new product categories, new customers and channels and those new large total addressable market to help us grow going forward.
Brian Murphy: Yes. Scott, I'm going to hijack your question for a second, because, and I was hoping you come up here, but there are parts of our business that really haven't begun to be explore. Like we talked about e-comm, we talked about the ability to cross sell our brands. International for us is hardly tapped at this point. Our brands, in their infancy and where they have permission to play or where we believe they have permission to play is a mess. And we've talked about getting into some of these larger total addressable markets, and in some cases outside of our traditional, called the traditional outdoors, we managed to get example of that locked down as another great example of that, MEAT Your Maker!. So, it's – people are very focused on outdoor participation and that's great that's our core consumer, but there are also some other pieces of our strategy that we've really focused on to – that we believe can be tapped into going forward.
Scott Stember: Got it. That was very helpful. Thank you.
Andy Fulmer: Yes. Thanks, Scott.
Operator: I'm showing no further questions in queue at this time. I'd like to turn the call back to Mr. Murphy for closing remarks.
Brian Murphy: All right. Well, thank you operator and thanks everyone for joining us today. We look forward to speaking with you again next quarter. Happy St. Patrick's Day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.